Thierry Garnier: Thank you, Maj, and good morning. Welcome to everyone here at the London Stock Exchange and also to those joining online. And I would like to begin by warmly thanking our colleagues across the group for their continued hard work and commitment. I am immensely proud of all our teams for their focus and contributions against a challenging backdrop, helping us to deliver for customers and drive our long-term strategy. So now turning to our agenda for today on Slide 2, and I will start the presentation with the key messages and financial highlights for the year. And Bernard will then run through our performance in more detail and cover our outlook and guidance for the year ahead. I will then provide an update on our strategy, including details on our new plan for France. And as usual, we'll be happy to take your questions after the presentation. So now to Slide 3 and our key messages today. Our financial performance for the year was in line with our guidance, which we revised at our Q3 results. Against the backdrop of high inflation and elevated cost of living, we saw contrasting results in our banners. We delivered a positive sales performance in the U.K. and Ireland with our three banners, B&Q, Screwfix and TradePoint consistently gaining market share. And in France and Poland, as we have reported, sales were impacted by the more challenging consumer environment in those markets. We have stayed focused and continued to execute against our strategic priorities at pace. And in particular, we are making significant progress in the areas of Screwfix, e-commerce marketplace, data, retail media and trade. These are all key drivers of sustained market share gains and our medium-term growth ambitions. We're also today announcing a clear plan to take France to the next level, simplifying the organization and significantly improving the performance and profitability of Castorama France. Turning to the short term and the year-end, we expect repairs and renovation on existing homes, which are typically around 80% to 85% of our sales to continue to support resilient demand. So, while we start to see early positive momentum for housing demand across our markets, we are cautious on the overall market look for 2024 due to the lag between housing demand and home improvement demand. Against this backdrop, we are focusing 2024 on what we can control. This is delivering our strategy to deliver market share growth, driving productivity gains and continuing to manage our cost and cash effectively. Overall, our consistent execution over the last four years means we are now strongly positioned for growth in 2025 and beyond. We have made significant structural changes in how we operate. We are more agile, more lean, and we have a high conviction in the multiple growth drivers we are already investing in. So, turning now to Slide 4 and the financial highlights for the year. Overall sales of minus 1.8% were resilient despite the conditions in France and Poland. This was supported by our positive performance in the U.K. and Ireland. We analyze our business by three broad categories: seasonal, big-ticket and our core categories. Core represents 77% of group volumes and 2/3 of group sales last year. Through the year, we saw a sequential improvement quarter after quarter in the volume trend of these core categories as price inflation tapered. And this is still the case when we look at current trading versus the fourth quarter. This is an important and encouraging trend in the context of 2024. So, e-commerce growth has been very encouraging, supported by the strong progress of our marketplace at B&Q, which has reached £200 million in GMV in less than two years of operations. Our overall e-commerce sales now represents 17.4% of the group. This is more than twice the level of 2019, which shows how far we have come. We delivered adjusted profit before tax of £568 million and a strong free cash flow of £514 million. And finally, we continue to build on our track record of attractive shareholder returns with around £400 million return through dividends and buyback in the year. So, let me now hand over to Bernard to take you through the financials in more detail.
Bernard Bot: Thank you, Thierry. Good morning, everyone. To Slide 6 and the key financials for the year. As you've just heard, total sales in constant currency were down 1.8% to just under £13 billion. We generated gross profit of £4.8 billion, down 1.6%, with gross margin up 10 basis points. This reflected active management of inflation and supplier negotiations, partially offset by higher customer participation in promotional activity in France and Poland particularly in the first half of the year. In H2, the group's gross margin was 60 basis points higher year-over-year. In constant currency, retail profit decreased by 19.5% to £749 million. This reflected lower gross profits in France and Poland and higher operating costs in the U.K. and Poland largely due to staff pay rates, energy costs and technology spend. The retail profit margin was 130 basis points lower at 5.8%. In H2, the margin decreased by just 70 basis points year-over-year with our banners in France and Poland expanding their actions on cost management. After central costs and our share of joint venture interest and tax, adjusted PBT decreased by 25.1% to £568 million. We generated free cash flow of £514 million, supported by the unwind of working capital outflows from the prior year as well as lower capital expenditure. And our total liquidity position remains strong at over £900 million. Net debt, mainly comprised of property leases, was just over £2.1 billion with net leverage of 1.6 times EBITDA unchanged from prior year. Moving to Slide 7 and looking at our performance by category. 16% of our sales were from big-ticket categories, which include kitchen and bathroom sales. Like-for-like sales in this category were 3.8% lower, largely reflecting market weakness in France and Poland. 18% of our sales were from seasonal categories. This includes products such as outdoor furniture, barbecues and heating and cooling products. Like-for-like sales in these categories were 5.9% lower driven by adverse weather in our markets. This included poor conditions in spring and an unusually warm start to autumn. In our core categories, which accounts for the majority of group sales and volumes, we saw relatively resilient demand trends with like-for-like sales lower by just 2.1%. As Thierry mentioned, we saw a sequential improvement of the volume trend as price inflation tapered through the year. We see this as an encouraging trend, which has continued into the start of 2024. Over the next few slides, we'll take a closer look at our performance by region. All year-on-year variances are in constant currency. Starting with the U.K. and Ireland here on Slide 8. We delivered like-for-like growth of 0.8%, supported by resilient e-commerce and trade customer sales. Space and acquisitions contributed an additional 2.2%, mainly from store openings at Screwfix and the acquisition of Screwfix Spares in March. Total sales in the U.K. and Ireland increased by 3%. Looking by banner, like-for-like sales at B&Q increased by 0.4%. This was driven by core category sales supported by robust demand from trade customers and the strong growth of marketplace. Marketplace participation was 31% for the year with overall e-commerce penetration reaching 13%, up from 11% last year. TradePoint delivered a good performance with like-for-like sales up 0.7% for the year, accelerated H2 to plus 3.6%. TradePoint penetration of B&Q sales remained at 22% for the year. Customer engagement and loyalty at Trade Point continued to strengthen with active membership up 6% year-over-year. At Screwfix, like-for-like sales increased by 1.4%. The business saw good performance across most categories, supported by robust demand from trade customers. Space growth and the acquisition of Screwfix Spares contributed circa 6% for total sales growth of 7.3% B&Q, TradePoint and Screwfix all saw consistent market share gains in the year, strongly so at Screwfix. Gross margin for the U.K. and Ireland increased by 40 basis points, reflecting the effective management of inflation and favorable channel mix impact due to the growth of B&Q's marketplace. While H1 gross margin was flat, H2 margin increased by 80 basis points year-over-year. Operating cost increased by 8%. This was driven by increases in energy cost, higher technology spend and costs associated with new stores. The increase was partially offset through structural savings achieved by our cost reduction program. Regional profit for the U.K. and Ireland was 8% lower at £555 million, with the increase in gross profit more than offset by higher operating cost. Moving to Slide 9 and our performance in France. Like-for-like sales were 5.9% lower for the year with the trading environment impacted by low consumer confidence, particularly in the second half. Within this, seasonal sales were impacted by adverse weather conditions with like-for-like sales 9.2% lower. Looking by banner, Castorama's performance was broadly in line with the market with like-for-like sales down 4.8%. At Brico Dépôt, like-for-like sales were 7.1% lower. Its performance in H1 was impacted by a reallocation of a portion of its marketing budget to digital, which moved unsuccessful and was corrected in mid-July. Sales slowed further in Q3 as the trading environment weakened but rebounded in the fourth quarter with the sales performance in line with the market. Gross margin for France decreased by 10 basis points, reflecting the higher weighting of sales towards special promotions at Brico Dépôt, largely offset by effective supplier negotiations and lower distribution costs and shrinkage rate in H2. Gross margin increased by 20 basis points in H2. Operating costs decreased by 2.9% due to the active flexing of variable cost and structural savings achieved by our cost reduction program, both of which were expanded in the second half in response to the weaker trading environment. Operating costs were 4.4% lower in H2. Retail profit was 29.7% lower at £139 million driven by Brico Dépôt. France retail profit margin was 110 basis points lower for the year at 3.3%. Turning to Slide 10 and the performance of Castorama Poland. Like-for-like sales were 9.5% lower against strong prior year comparatives and a challenging trading environment, particularly in the first half of the year. Sales trends improved in Q3 and Q4, supported by core category sales in line with the gradual improvement in the consumer environment. On a year-over-year basis, Castorama gained market share in Q4 and sales trends have continued to improve in current trading. Gross margin for Poland decreased by 20 basis points for the year. This reflected higher consumer participation in promotional activity and adverse sales mix, partially offset by Castorama's effective management of inflation, supplier negotiations and a lower stock provision movement compared to the prior year. This was especially the case in H2 with gross margin up 150 basis points year-over-year. Operating costs were 5.6% higher for the year due to increases in pay rates energy cost, higher technology spend and costs related to five new stores. This was partially offset by strengthened cost reduction actions, including the flexing staffing levels lowering discretionary spend, and the rephasing of certain investments. These actions resulted in operating cost to a 1.7% increase in H2. Retail profit for the year was 47.4% lower at £82 million with a retail profit margin of 4.8%, 370 basis points lower year-over-year. Turning now to Slide 11. The performance of the U.K. and Ireland, France and Poland are shown here in summary. Looking now at some of our other markets, First, in Brico Dépôt Iberia where like-for-like sales were 1.8% lower. Core and big tickets were resilient, but the business saw weak seasonal sales due to adverse weather in the year, with the profit decreased to £6 million. At Brico Dépôt Romania, like-for-like sales were 3.3% lower against strong prior year comparatives and a challenging trading environment. Sales trends improved in H2 and the business exited the year with a positive like-for-like in the fourth quarter. Retail loss increased to £80 million, reflecting lower sales and gross margin, partially offset by lower operating cost. Other consists of the consolidated results of our new businesses, Screwfix International, NeedHelp and franchise and wholesale agreements. The combined retail loss of a £30 million was realized in line with the prior year. The loss was largely driven by Screwfix France as the business invested in opening stores and building brand awareness. Our Turkish joint venture, Koçtas, contributed a retail profit of £50 million, up £7 million from prior year. However, this was offset by higher Koçtas-related interest in the year as it relates to inflation accounting. To Slide 12 and the full year movement in adjusted PBT for the group. In constant currency, this was down 25.1% for the year to £568 million. Lower like-for-like sales at constant gross margin rate contributed £150 million to the decline. The gross margin rate improvement of 10 basis points added £12 million. Increases in pay rates and energy cost inflation amounted to £148 million, which was weighted more to the first half due to the phasing of inflation in the prior year. Other cost inflation and technology spend, which includes depreciation on IT assets, had an impact of £66 million. We were able to substantially offset these cost increases through the active flexing of our staffing levels and variable costs, together with structural savings achieved by our cost reduction program. Overall, the net increase in operating costs excluding new stores and new businesses was £38 million for the year. In H1, we recognized one-off and noncash charges of £10 million related in effect of foreign exchange hedges, which was linked to lower product purchases, over £5 million of this related to Poland. The year-over-year movement in profit contribution from our new stores and new businesses was £5 million. This was mainly driven by Screwfix in the U.K. and Ireland. And finally, our nonretail profit items were £70 million higher year-over-year. This included £11 million more on central cost plus £12 million of additional interest and tax at Koçtas, reflecting accounting adjustments linked to high inflation and interest rates in Turkey. These items were partially offset by £7 million lower net finance costs due to higher interest income on cash deposits. On Slide 13, we have replicated the profit bridge for H2. In constant currency, pretax profit was 19.4% lower at £232 million, which was an improvement on the H1 movement given a stronger gross margin rate and accelerated cost actions, somewhat offset by the impact of a larger decline in year-over-year sales. Gross margin improved in all key markets in H2 for an increase of 60 basis points in total for the group. This was driven by our effective management of inflation and supplier negotiations, more normalized promotional activities and a lower stock provision movement in Poland year-over-year. This resulted in a £37 million profit contribution. And as a result of our accelerated action, net operating costs, excluding new stores and new businesses, were £7 million lower year-over-year. This leads us to Slide 14 and an overview of our ongoing work to lower our cost base and increase productivity. At the start of 2020, we initiated a multiyear cost reduction program covering all our retail banners and group functions. These efforts have delivered a combined £356 million in like-for-like operating cost reduction over the last three years, completely offsetting operating cost inflation. This number doesn't cover the significant savings realizing cost of goods sold from optimizing our distribution center space and logistics networks. For example, in France, Castorama and Brico Dépôt have reduced distribution center space by 28% over the last four years. Despite this, there's still much more that we can do and we're continuing to increase labor productivity. Last year, the number of FTEs in the group reduced by approximately 2,600. In stores, we are enhancing productivity by deploying technologies such as self-checkout terminals and electronic price labels. We are also leveraging data to improve store processes and implementing new best practices to reduce stock shrinkage. In property, we continue to negotiate favorable lease terms. Last year, we completed 17 lease renegotiations across the group excluding Screwfix, realizing an average net rent reduction of 19%. And results from our rightsized stores have exceeded expectations, seeing an average base reduction of 30%, improved sales densities and improved profitability. We plan to rightsize up to 20 more B&Q stores over the medium to longer term and accelerate rightsizing Castorama France as Thierry will touch on later. Across our group and banner head offices, we are also seeing savings on overhead expenditure, including through the expanded use of our shared service center in Poland. This is allowing us to be more efficient at our and offices. Last year, we invested in software engineering and data capabilities in-house, facilitating more agility in responding to customer demands and a lower level of reliance on third-party contractors. We also decommissioned older and more costly legacy IT systems. And we continue to optimize our circa £2.5 billion of goods not for resale purchases with a range of projects led by category managers that operate across banners and local procurement teams. There are 230 such projects currently in train. We expect to continue driving cost savings and efficiencies. In the coming year, we have line of sight to an additional £120 million of cost reduction, helping to offset against expected inflation. To Slide 15 and a summary of cash flow movements in the year. We generated EBITDA of over £1.3 billion, lower by 8.7% year-over-year. As expected, we saw a working capital inflow of £118 million. This was driven by £132 million reduction in inventory, 4% lower year-over-year, reflecting lower purchasing, a reduction in seasonal and buffer stock, product mix and our ongoing strategic reduction initiatives. This was partially offset by the impact of product cost inflation and new stores. Payables were broadly stable year-over-year, lower by £8 million due to normal normalized purchasing patterns. Receivables increased by £6 million, resulting in a net overall movement of £14 million. Capital expenditure for the year was £363 million, representing 2.8% of sales. This was approximately 20% lower year-over-year, driven by lower tech and digital spend and some rephasing of our store and range review investments. Free cash flow for the year was £540 million. We paid ordinary dividends of £237 million and a further £160 million was returned to shareholders via our share buyback programs. This included circa £50 million related to the first tranche of our ongoing £300 million program. Overall, we saw a net increase in cash of £84 million. Moving on to our outlook and guidance for the year ahead. Starting here on Slide 17 with a reminder of Kingfisher sales by customer spend category. Typically, the majority of our sales are linked to repairs and maintenance. This type of activity is less discretionary in nature driven by essential demands. As such, we tend to see resilience in associated product sales and more limited volatility. Then there is the renovation of existing homes. More recently, we've observed a clear trend of improve, not move, with consumers investing to protect the value of their homes in an environment of fewer housing transactions and relatively high employment levels and saving ratios. We saw this trend clearly in the U.K. last year, particularly with trade demand at Screwfix and TradePoint. In addition, trends such as more working from home and growing interest in energy efficiency provides reinforcement for renovation-linked demand. The balance of the 10% to 15% of our typical annual sales are linked to renovation work following a house move. Our analysis suggests that recent home movers are likely to spend 1.25 times to 2.5 times more on home improvement than the average home improver within 18 months of moving, providing some support for our big-ticket sales. Moving to Slide 18. To give you an insight into our scenario planning processes, we'd like to present our view of the outlook for home improvement in our markets this year. In the U.K. and Ireland, we observed a relatively resilient consumer and continue to expect repairs, maintenance and existing home renovation to be supportive. However, we are mindful of a couple of things, first, the continued uncertainties facing households, including from employment and mortgage rates; and second, a nine-month to 12-month lag on average between housing demand and the realization of home improvement spend. As a result, our outlook for the U.K. and Ireland home improvement market in 2024 is somewhat between a low single-digit decline to flat year-over-year. In France, we continue to see subdued consumer confidence and a weak housing market. This supports our home improvement market outlook of a mid-single-digit decline in low case and low single-digit decline in the high case. And finally, in Poland, more recently, we have started to see inflation and interest rates come down versus their peaks in 2023. And consumer confidence is slowly improving with potential for further improvements as household benefit from real wage growth this year. We, therefore, expect the home improvement market in Poland to be somewhere between flat and low single digit year-over-year. In the appendices, you will find the results from a recent survey of retail and trade customers in the U.K., France and Poland, which we run regularly to check the pulse of our markets. Overall, these surveys highlight a gradual improvement in sentiment but still some caution on retail and trade consumer intentions in the short term. Finally, to Slide 19 and bringing our market outlook together with our guidance for the full year. Further technical guidance can be found in the appendices. To summarize the previous slide, we expect repairs, maintenance and existing home renovation to provide resilience, but we are cautious on the overall market outlook in full year '24, '25 given the lag between housing demand and home improvement demand. In Q1 to date, we have seen group like-for-like sales of minus 2.3% with improved sales trends in all regions compared to the fourth quarter. For the year ahead, you can continue to expect from us a focus on growing ahead of the market by leveraging our key strategic priorities. Thierry will cover these in more detail shortly. In terms of trading, as we have demonstrated very well in recent years, we will continue our effective management of product costs and retail prices while maintaining competitive price indices. We are also targeting an additional £120 million in OpEx reductions and productivity gains this year to partially offset higher pay rates and technology investments. Taken together, we expect full year adjusted PBT of £490 million to £550 million and free cash flow of £350 million to £410 million. With my review complete, let me now hand back to Thierry.
Thierry Garnier : Thank you, Bernard. So now moving to an update on our strategy. I would like to start on Slide 21 with a reminder of Kingfisher's equity story. Home improvement which includes DIY, do it for me and trade channels is an attractive industry. Our addressable markets are worth around £160 billion with many structural drivers. This include an aging housing stock across our European markets, which supports repairs, maintenance and renovation as well as an increasing need for greener and more efficient homes. We also see many supportive socioeconomic trends. There is a high level of home ownership across the core customer groups in our market. We continue to notice a sustained trend of more working from home and a budding generation of young DIYers post COVID. We then believe Kingfisher has many distinct competitive advantages that enable us to win in this market. Firstly, we maintain leadership across all our key geographies with number 1 or number 2 positions. This achieves through diverse banners and formats, which resonate with customers across general DIY, trade and the discount market. We have group scale and resources, which power our banners from product development and supply and technology and buying. Our own exclusive brands accounting for around half our sales are a treasure for Kingfisher. They enable differentiation and innovation at affordable prices for customers and a higher margin for us. We now have a powerful digital proposition supported by a strong store network and our leading-edge technology infrastructure. Combined, this creates our best-in-class omnichannel offering. And we are pioneers in leading our industry in responsible business and energy efficiency. Leveraging these advantages, Kingfisher represents a compelling returns opportunity. We have multiple growth drivers from the expansion of Screwfix, e-commerce and marketplace, retail media and trade while highly cash-generative business with a strong balance sheet. And we have a strong track record of paying dividends and returning surplus capital to shareholders. Since 2019, we have returned over £1.6 billion, that is around 1/3 of our market cap today. So simply put, we believe our market, our competitive advantages, our strategy, growth drivers and our record of delivering attractive returns, make Kingfisher a compelling investment opportunity. Achieving this potential means keeping our focus on the long term and continuing to execute against our strategic priorities at pace. Many of you will be familiar with our strategic pillars listed here on Slide 20-22. I will speak to some of these in more detail shortly. Overall, we are pleased with our progress in all these key areas. Together, they support our goal of powering our distinct retail banners with the strength, scale and expertise of the Kingfisher Group. So, on Slide 23, we summarize the application of our strategic priorities across our banners to achieve their full potential. With each of our banners having clear and distinct plans, the role of Kingfisher is to provide product, technology, scale and expertise where it makes sense to accelerate their strategies for the benefit of our customers. As you can see from the bottom of this slide, our disciplined approach gives priority to our highest returning opportunities, the expansion of Screwfix and the store opening program in Castorama Poland. Over the next few slides, I will talk to a handful of our strategic priorities, covering progress made to date and the significant potential we see in the future. And starting here on Slide 24 with our first pillar, grow by building on our different banners. In our key markets, we have identified white spaces and catchments where our banners are currently underrepresented. At B&Q, we now have 10 stores under the B&Q local branding, leveraging our compact high street format to penetrate more urban areas. We believe there are over 50 white spaces to go after in the U.K. B&Q trade-focused banner, TradePoint, expanded into 21 additional stores last year, now present in more than 2/3 of B&Q network. In the coming year, we will begin testing counters for smaller B&Q stores to increase our presence in this part of the state. Screwfix continues to grow at pace. Here, it opened 51 stores in the U.K. and Ireland. And with a total of 922 stores, it is firmly on track to his goal of over 1,000 stores in those countries. We expect to open up to 40 new stores this year. Screwfix also opened a further 15 stores in France for a total of 20 stores at the end of January. We are encouraged by the results so far and more of this possibly. Poland remains a significant and exciting opportunity for Kingfisher. There is a significant white space in the country with potential for all custom formats, in particular, our medium box and compact stores. We see more scope to add up to 75 such stores over the next five years and intend to open a further five this year. And finally, Brico Dépôt is well positioned to penetrate more white space in France with its discount format. It opened its first two compact stores last year with a 1,000 square meter format. Over the medium term, we believe net space growth will drive an uplift in sales of circa 1.5% to 2.5% per annum. Now to Slide 25 and a deeper look at the opportunity for Screwfix International, where we are building on the industry-leading convenience model for trade customers developed in the U.K. Last year, we focused on building the foundations for the business in France, and we are making good progress. We opened 15 more stores and expanded our range to around 14,000 SKUs. We are really pleased with the customer reaction so far across a customer base that has already reached 70,000. We have seen strong NPS scores and strong repeat customer trends with approximately half of our sales to trade customers. We believe the key to long-term success in France is leveraging our competitive advantages and all the things that make Screwfix great in the U.K. Our brand awareness is now already on par with our closest peer in France within only 18 months of opening our first stores. Our sales densities are already higher. And building on our existing presence in France, we are applying Kingfisher's local expertise, scale and own exclusive brands. We plan to open up to 15 new stores in Northern France this year, and we have a clear road map to profitability with a measured approach to the pace of store openings in the coming years. We are clear that the focus is further building brand awareness, scaling up sell store densities and further refining the model. Assuming the success of the format is confirmed, we see potential for more than 600 stores in France. And over time, we also see scope to extend our presence in more European countries, adopting our online-first approach. On Slide 26, we have set out Screwfix store sales evolution in France versus the U.K. Unsurprisingly, year one store sales are lower in France versus the U.K. where the brand is one of the most well-known [indiscernible] as our brand continues to develop in France and as we build on our 70,000 customers and with more of their wallet spend. Overall, we are confident in achieving a positive retail contribution in year four of a Screwfix brand store. We believe this will become faster as awareness and consumer adoption growth over time, as it did in the U.K. So now turning to our marketplace proposition on Slide 27. I mentioned in my opening remarks the strength of our e-commerce performance this year. Much of this is down to the success of our marketplace at B&Q and also in Iberia. In less than two years, B&Q has reached £200 million of GMV. Its gross sales from marketplace were 31% of online sales, and it continues to grow strongly, reaching 38% in January. At B&Q, we offer customers an additional 1.2 million SKUs from hundreds of selected merchants. This supports our own first-party proposition of 3,000 SKU in-store and online. Merchants are choosing us for our high levels of traffic, our trusted retail brands and our sophisticated back-end capabilities and services. And this -- with this virtuous circle, we are taking more share of traffic and attracting new customers with 50% of Marketplace customers new to B&Q. We apply a 10% to 15% take rate across our marketplace sales. So, with a relatively low cost to serve, marketplace is already delivering strong returns and the potential for further growth is very significant. Turning to Slide 28, our ambitions for e-commerce and marketplace. In the U.K. we aim to reach 2 million SKUs at B&Q, providing significant additional choice for our customers. This year, we will also onboard selected non-U.K. merchants to expand options from international brands. And we are already excited about extending our success to France and to Poland. With the technology already built, this can be done at a minimal cost. Last week, Castorama France launched its marketplace. The business is planning to scale at pace, leveraging new strategic partnerships already signed with various aggregators. Over time, we expect to offer more than 500,000 additional SKUs. And Castorama Poland will launch its marketplace in H2. So, e-commerce is a major growth opportunity for Kingfisher. Our ambition is now to reach online sales penetration for the group of 30%, with 1/3 coming from this high-margin marketplace sales. To Slide 29. Another area where we have moved at pace is retail media. We have built a proposition to give merchants the opportunity to advertise, utilize data and improve their offering. This is supported by new partnerships to accelerate our capabilities in technology and sales. In H1 last year, we launched retail media in our two banners in France followed by B&Q in H2, with multiple vendors now advertising their e-commerce channels. Our priorities this year include expanding into Screwfix, Castorama Poland, Iberia and Romania. We will also launch a retail media proposition for marketplace sellers. Over time, we see the potential for retail media revenues to reach up to 3% of our e-commerce sales, and we are already excited about the opportunity here. And generally, our trade, our pro strategy here on Slide 30. This is a key priority for Kingfisher and is already delivering very positive results, how we extend our proposition into France and Poland. Through TradePoint in the U.K., we have created a blueprint for ambitions in heavier trade. The banner is now present in 67% of B&Q's store network. Last year, we recruited dedicated sales partners in 39 stores to build more direct and personalized relationship with our trade customers. And we are already seeing positive early results with TradePoint delivering £834 million in sales last year and like-for-like sales in H2 of plus 3.6%. The business outperformed B&Q as a whole and gained market share. So, we are extending our learnings here to other banners across the group. In France, we have launched test at 24 Brico Dépôt stores with dedicated trade zones, colleagues and the new loyalty program. Already in those stores, we have seen a doubling of trade sales penetration and we have recruited more than 5,000 customers to our loyalty program. Given this early success, we have begun to a nationwide rollout to all Brico Dépôt store while, in parallel, stepping up our trade proposition at Castorama France this year. And similarly, in Poland, we are testing Brico Dépôt, a store-in-store concept similar to TradePoint. We separate entrances to the stores supported by a new loyalty program and dedicated sales partners. Early results show that trade penetration of our five pilot stores is significantly higher than the Poland average, and we are seeing trade customers shop 3 times more frequently and with much higher baskets. So, this year, we intend to expand the store pilots to 10 additional locations in Poland, supported by a national rollout of our Pro loyalty program. Over the longer term, these plans support our ambitions to increase TradePoint sales to over £1 billion and to double our trade penetration in France and Poland. Turning now to France and starting with Slide 33. We have established strong foundations in France over the last four years. The fixed France phase started in September 2019. We quickly started to improve the offer of both banners, bringing back local and international brands to meet customer better. We reintroduced dynamic trading events and promotional offers. We put in France in place new leadership and filled critical roles and teams, and we started to reorganize the entire logistics network in France as well as addressing the key IT pain points of 2019. In 2020, we started implementing our new Powered by Kingfisher strategy. As you know, we fundamentally rebalanced all the banners work with Kingfisher Group, giving them greater autonomy and agility. We enhanced further the offer of both Castorama and Brico Dépôt, leveraging Kingfisher's to provide differentiation between the two. And we invested in price at both banners, strengthening their price positioning and perception. We also started to test adaptation to the store estate, giving us the insights, we need to make longer-term decisions around rightsizing modernizations, transferring Castorama stores to Brico Depot and compact format. In parallel, we have brought significant new e-commerce and data capabilities to France, preparing the banners for the next phase of their journey. And finally, over £150 million of cost has been structurally removed from the businesses in the last four years. As a result of all these actions, we have created a clear differentiation between our two banners, more competitive prices, strong product availability and significantly improved customer satisfaction. As a consequence, we have now corrected the significant underperformance, again, the market that we were experiencing back in 2019. So, the time is therefore ripe to take France to the next level, and this is summarized here on Slide 33. First, we are simplifying the overall structure of the organization by dissolving our Kingfisher France structure. This will move decision-making power clearly to the banners, making us more agile and it will eliminate some duplication of work at banners at France level, releasing some efficiencies. This simplified structure will reflect how we run our businesses in the U.K. and Ireland. Alain Rabec, CEO France, will retire at the end of September 2024. Alan joined Kingfisher in October 2019 and has overseen most of the significant progress I highlighted on the previous slide. I would like to take this moment to thank Alan for his many important contributions and wish him well with retirement. As part of this, we have announced that Pascal Gil will become CEO of Castorama France at the end of April. Pascal started his carrier at Castorama France before leading Brico Dépôt and then becoming CEO of Poland. Details of Pascal's successor in Poland will be announced in due course. Second, we have constructed a clear and actionable new plan for Castorama. We will restructure and modernize the store network, improve operating margins and gross sales densities. Finally, we strengthened the discounter DNA of Brico Dépôt to drive like-for-like sales. The business aims to capture trade demand, roll out new store formats and improve productivity. So, based on this plan, our target is to reach a retail profit for France of circa 5% to 7% in the medium term. We expect to achieve 5% through self-help and the actions I will set out in the next few slides. And if the French market environment becomes more positive we believe this can move to 7% with the operating leverage in the business. So, starting with Castorama on Slide 34. Despite significant progress over the last four years, the margin of Castorama remains lower than group average and also that of Brico Dépôt. We have developed a plan with three core priorities to boost Castorama's performance starting with restructuring and modernizing the store network. We are focused here on 1/3 of the estate, which we have assessed as the lowest-performing Castorama stores. Our plan is to address these stores via four main pathways: rightsizing, modernization, transferring to Brico Dépôt and franchising. I will explore these pathways in the following slides. And 13 stores will be addressed during this year. Second, we'll focus on operating margin efficiency for the whole Castorama network. This means strengthening our cost reduction plan and leveraging our investment in data and AI to optimize promotion, markdown and clearance. As discussed, we will also scale our retail media and marketplace offerings to generate additional income streams. We also believe there is significant opportunity to grow sales density across Castorama. This can be achieved with broader product choice, supported by marketplace and also by growing trade penetration and capturing demand for energy efficiency and green renovations. And finally, we intend to achieve this with no material step-up in CapEx. The investment required is within the group CapEx guidance of 3% of sales and will be spread over the next three years to five years. We see an internal rate of return of over 25% on these investments and payback within three years to five years – three years to four years. We are now assuming any release of value -- we are not assuming any release of value from our three old stores. Now to Slide 35 on the first pathway for Castorama's lowest-performing stores, rightsizing. Over the last two years, we have successfully rightsized two Castorama stores. This resulted in space reduction of around 25% and a material uplift in cities. On average, that saw a 600-basis point improvement in the retail contribution margin of those two stores. We have identified three stores where we will commence rightsizing this year, with a targeted payback of investment within four years. Second, we are modernizing our store formats. We successfully carried out pervasive store refit last year in our Castorama store in Englo near Lille. We reorganized the layout, breaking from the format of 130 aisles and moving instead to six core areas focus on inspiration and projects. The refit took six months to complete and we completed the work while the store was open. We expect payback of our investment within four years. Results have been strong, and we significantly improved sales growth, strong big-ticket sales and higher customer traffic and NPS scores. The store has now become one of Castorama France's top 10 performing stores. We are planning to roll out this successful approach to one Castorama store this year with six additional low-performing stores benefiting from a refresh. On Slide 37, you can see how we have upgraded the look and feel of Englo, creating a more inspirational space and improving the overall customer experience, including in-store digital and fulfillment service. We are looking forward to show you this renewed concept in person as part of our store 2 event in July, and we hope to see many of you there. Slide 38 shows our value can be created in specific situation by transferring Casto stores to a more profitable Brico Dépôt. Over the last three years, we successfully transferred two low-performing stores to Brico. Our Porto Combo conversion showed on this slide, so a reduction in selling space of 50% with sales on cities increasing by more than 100% and a material uplift in store profitability. We are planning to transfer one Castorama France to a Brico Dépôt format this year. And finally, to franchising on Slide 39. We have followed closely the very common practice of franchising in French retailing, and we believe there are significant benefits for both Castorama and our potential franchisee. The franchisee would operate a store with right to use of Castorama brand for royalty fee. They would also be able to leverage Kingfisher's capabilities, including our store technologies, our buying scale and access to our OEB product variables. All store operating costs, such as staff and OpEx will transfer to the franchisee. We believe that the model will improve store profitability and provide an attractive income stream for Kingfisher. So, we are planning to test franchise in two Castorama stores in the next 12 months. Longer term, this model also gives us the option to expand our footprint with limited CapEx. Now to Slide 40 in Brico Dépôt, our industry's leading discounter. We believe there is significant and exciting potential for this business, and our plan will capitalize on the extensive work we have done to restore Brico Dépôt discounter DNA. We'll drive like-for-like sales by further strengthening ranges, brand awareness and our price positioning. As I mentioned earlier, Brico will expand its trade proposition to the entire store network this year, following very positive results in 24 stores. We're also testing and optimizing Brico's innovative 1,000 square meter format. The business opened its first two compact stores this year and customer reaction has so far been positive. So Brico is well positioned to penetrate more white spaces that exist in France, and over time we see franchising as another option for capital-light footprint expansion. At last, improving store productivity is a big focus for Brico Dépôt. We are starting by optimizing functions and creating a simpler management structure. There is a significant opportunity to leverage technology and data to be more efficient in how we run the stores and deploy our colleagues. So overall, there is much to look forward to in France, and we are excited about the possibilities ahead, and we expect significant improvement in profitability over the medium term. So finally, to summarize today's presentation, and starting on Slide 42. 2023 was a challenging year However, we are pleased with the fast progress made against our strategic initiatives, which are structurally changing our business for the future, and this is reflected particularly in our resilient U.K. performance. For 2024, our approach is to be realistic on market growth, even the lag between housing and home improvement demand. But putting the market environment to one side, we have much to look forward to in the year ahead. This is leveraging our strategy to deliver sustained market share growth, driving productivity gains, managing our cost and cash effectively. We're also energized by our plans to improve performance and profitability in France. And to Slide 43, the business is strongly positioned for growth in 2025 and beyond. I've been clear that as a business, we must not rely on the macro environment to drive our performance. Our very consistent approach in the last four years has been to structurally change our business on the inside, transform the offer for our customers and focus our capital selectively on profitable growth opportunities. The box on the left provides a few examples of how we have repositioned the business since 2019. We have rebalanced the relationship and responsibilities of our banners and group functions. We have shifted our e-commerce strategy to leverage our store estate to drive our impressive online growth and have transformed our tech infrastructure while also investing in the use of data and AI. We have adopted a culture of test and learn which has enabled us to successfully adopt new approaches and format with minimize risk. And our colleagues are highly engaged and believe in what we are doing. Employee Net Promoter Score continues to increase and is within the top 5% of worldwide retailers. As you have seen from Bernard, we have also removed significant costs across the group with more efficiency opportunities still ahead of us. Now moving to the middle box in this slide. We have also significantly enhanced our customer offer. We have done this with new stores and formats in all our key markets through more choice, thanks to our new now proven marketplace model, and industry-leading OEB products. We have seen a real step change in our e-commerce proposition, offering our customers speed and convenience. And we have invested in price to provide better value for money with a price index of 100 or better at all our banners. We have also invested our trade customers with new ranges and dedicated experts. And as I have set out today, we have focused our investment in key growth opportunities. On the right of the slide, you can see a summary of the financial ambitions related to these opportunities. All this means we are confident about the medium-term growth prospects for Kingfisher. The strategic drivers of the business support our ability to deliver an attractive top line, earnings growth and cash generation which, in turn, support strong shareholder returns, as you can see here on Slide 44. Next year, financial year '25-'26, we aim to generate free cash flow of circa £450 million. And beyond 2025, we aim to deliver in excess of £500 million of free cash flow per annum, supported by our profit growth and inventory self-help measures. We are keeping a disciplined approach to capital allocation while we will continue to invest to support our strategy. We have revised our medium-term capital expenditure target to circa 3% of total sales. This is reduced from our previous target of 3% to 3.5%. We have a clear track record of delivering attractive returns to our shareholders through dividends and buyback. We have returned over £1.6 billion to shareholders in the five -- in the last five years, and we are committed to our approach to return surplus capital. So, with that, I will now open the floor to questions. Over to you, Maj. Thank you.
Majid Nazir: Thank you very much, Thierry. Just before you go on to Q&A -- or we go on to Q&A, just to take the opportunity for a quick plug on our store tours that we're going to run in July. So, you saw -- and you heard too, we talk about Castorama Englo in his presentation. And indeed, we'll be -- that will be one of the stores that we see. So, for details, contact myself or my team. But broadly speaking, we'll be going to Warsaw on Wednesday, the 10th of July, see a couple of our stores there. And then we'll be on to Lille on the following day, Thursday the 11th to see Englo, a Brico Dépôt store, and actually for many of you, for the first time, one of our Screwfix stores in France as well. So, look forward to seeing many of you there indeed. So, with that, we'll move to Q&A.
A - Majid Nazir: And I think Warwick first, please. And then Amy.
Warwick Okines : Warwick Okines, BNP Paribas Exane. Two questions, please. So, the first is on your 5% to 7% margin aspiration for France, at the bottom end, that self-help 5%. Could you help us with how much of the required 170 bps improvement from last year would come from gross margin, how much from costs? And then second question is, for how many years do you think Screwfix France will remain loss-making given the ramp-up that you plan? Thank you.
Thierry Garnier : Bernard, do you want to start with the first one?
Bernard Bot: So, we have a 3.3% this year. Last year was 4.4%. I would say in a difficult environment, if you look at the last six years, we were around 4.2%. I think we're going to pull all the levers, as Thierry pointed out. A very important one is through the measures on the store state obviously to increase the overall sales density. So that's mainly then on the cost side. Then there's operating measures and cost reductions. So again, that's going to be a big part. And then obviously, we're going to do everything to work on the mix on our supplier negotiations, plus there's a big effort on the supply chain that we do. I think we called out 28% reduction in space, so all that then. On the other side, we'll continue to gross margin. But I think you've heard us say often that we will not be driven by gross margin percentage target because ultimately, what we want to do is drive the bottom line. So, if there are trade-offs needed in there, we'll make them in order to achieve the top line growth, which ultimately benefit the operating leverage.
Thierry Garnier: Just remember always, there are two animals in France. Brico Dépôt is a different story. You need to grow, and that's as well something to be added. I think Screwfix really for us, the first priority is to improve sales density. So, I think the last level will depend on how quick is the curve I showed you and how fast we want to expand also. So, it is fair to say that in the coming three years, we would expect a loss at Screwfix France. But then depending on the sales density and the expansion plan will have in France for Screwfix.
Majid Nazir: To Amy, please?
Ami Galla : Ami Galla from Citi. Two questions from me. The first one was on the cost savings start -- cost reduction target that you've penciled in for this year. Can you give us some color as to which markets that's focused on? And also, some outlook on the sort of inflation on the overheads that you're seeing across different key components? The second one was really a follow-up on this Screwfix France government. Given that your competitor ToolStation is looking to unwind the estate, does the curve -- the maturity curve to breakeven become steeper in the short term as a result of that event? And a quick sort of color in terms of the competitive pressures that you're facing in France today. Are things stabilizing as we think about the next 12 months to 18 months there?
Thierry Garnier: Bernard, just the cost.
Bernard Bot: The environment, so the cost reduction of £120 million is obviously follows a little bit the size of our markets. So, I would say, probably it's France, U.K. as the big chunks, but then there's also a chunk of things we do in IT and obviously in Poland and the other markets. But it's broadly spread according to the footprint of our businesses. Maybe a couple of things to say in addition. If you look at some of the energy price movements, those were more of a headwind this year in the U.K., less so in France. They have a different energy market. So that will contribute a little bit more in the U.K. market than in France. But then as you look at it in the round, the expectation is that we will still see an increase overall on a like-for-like basis given the fact that if you especially look at pay rates, obviously, we're in line with retail, they vary. But you would have noted the minimum wage impact in the U.K., and that will continue to flow through. And then obviously, we're making additional investments, for example, in tech with a little bit more roles or higher depreciation flowing through. So, in the around £120 million spread broadly around across the -- given the size of our markets, but still some operating cost inflation to the expected this year.
Thierry Garnier: Thank you. So Screwfix France versus Toolstation. So first, it's never great to talk about competitors. So, I would say first thing is when you look at the U.K. business, you know that the sales density of Screwfix is much higher than the sales density of Toolstation. There are many, many components sales now city profit that makes Screwfix a stronger business in the U.K. So, we expect to see that in France, too. Second thing is we are in France for the past 40 years, 50 years. We know the suppliers. We have proper local negotiations. We have the team in France. So, because we know the French market, we consider is a strong help for Screwfix in France. So overall, we already have better sales densities than Toolstation. We have the same brand awareness just after 18 months. So, we are confident that France will be an important market for us. Then we are in different regions. Toolstation is more in South of France. We have chosen to start in the North of France. So, the fact that they will exit the market will not change anything for us. Competition pressure in France, we are pleased with our price index. Always, price index is our first priority. We want to grow market share. We have to have the right price positioning in France. And we continue to see that in the past months and including more. Probably last year, we have seen for a few months more promo activity from Leroy Merlin, but I would say it's relatively normalized today. I don't notice specifically more or different kind of promo activity this year versus a normalized year in France overall.
Majid Nazir: Izabel?
Izabel Dobreva : Hello, Its Izabel Dobreva from Morgan Stanley. I had three questions. So, the first one is on your gross margin. The exit momentum in the second half was quite strong. Can you give us a sense of whether you expect this to carry through over the next 12 months? And if you could give us some color on how that breaks out between your price expectations relative to supplier negotiations and any potential headwinds from the Red Sea. So that's the first question. And then my second question was on the cost. So, the £120 million, does that include any energy savings that you get from spot prices for the year ahead? And if so, how should we think about the run rate of structural cost savings beyond this year, so '26 onwards? And then my third question is on France. So, you talked a little bit about Toolstation and the lack of geographical overlap. Would you be open to any acquisitions in order to expand your network more quickly? And then in terms of the Castorama digital strategy, could you talk a little bit about the digital landscape in France?
Thierry Garnier: Thank you. Maybe I'll start with a few comments on rate and inflation then we'll move to the gross margin and follow-up. I think I'll start with the Red Sea. In short, for us, so it's an issue to manage. It's not a crisis. It's not a crisis because, first of all, you can find containers. We relatively -- easy to plan and we don't see really disruption today. We see approximately two weeks of delays. But in our industry, that's relatively manageable. And still this year, freight will be a small tailwind. So, in short, topic to manage like many other issues, but not a crisis. Probably on inflation and prices, a few comments. First, we see our purchase, our product purchase broadly flat -- prices broadly flat for 2024. We expect, as I mentioned, a small tailwind on the freight side and a small headwind on the FX side. And as far as I look into 2024 today, I do not expect deflation. I see -- some categories, you will see price down. Typically building material when you have high frequency, timber, those categories, you will see deflation. But overall, in our business, we have many different categories, And I still see and expect inflation at a low level in 2024. Maybe comment on gross margin?
Bernard Bot: Yes, so then it basically ramps up into the gross margin level in that dynamic of COGS expected broadly flat. And then as Thierry is saying, as we see it today, we're not seeing shelf price deflation. Just to reference back on the exit rate in H2, a couple of movements there. One is stock provision especially in Poland were lower. And then as Thierry was saying, I think the level of promotional intensity in H2 was more normalized versus H1 where it was stronger, and we're continuing to see a normalized level of promotions going into the year. Then in terms of the cost savings, yes, it includes a little bit of energy savings. Obviously, that's a little bit of a difficult one to pinpoint exactly for the year because we had a relatively mild winter this year and also the winter before. But we've made structural reductions in our energy consumptions. And overall, the energy rates with hedging we do have come off. So, in H2 already, it was basically flat year-over-year, but then for the year as a whole, we'll have a bit of a benefit in H1. Then in terms of the onward savings, you said it was in the past about £120 million. I would say it does vary a little bit by year. Some place if you have a big initiative on rollout of SCOs or an operating model change in one of the banners, obviously, you'll do a little bit more in that year and a little bit less in the other. But that 100 figures is something that we broadly will target every year as part of the structural program that we have.
Thierry Garnier: Thank you. And Toolstation in France, to be very direct, we are not interested by a potential acquisition for many reasons. First, we have -- you grow in a format to fix around the distribution center. We have deliberately decided to set up a distribution center in north of Paris. So clearly, the geographic area that is our first focus is the Northern part of France, and Toolstation is in South. And secondly, we have a very ambitious plan already. We are very happy with the opening plan of stores. So, we have enough to do without adding additional project for Screwfix at the moment in France. We are very pleased with the progress and the plan we have at the moment. E-commerce landscape in France. First, you have one more competitor, that is ManoMano. That is a vertical specialist on e-commerce that started years ago to create a marketplace, which is really a marketplace. It's not -- they don't have first-party proposition. But recently, we feel that ManoMano is losing traffic share for different reasons. Leroy Merlin is a strong competitor online with a proper e-commerce business and marketplace. Our strategic choices online, you remember we discussed that at length in some previous meeting is, one, we believe in speed. So, we deliberately believe in store preparation and in fast home delivery and fast Click & Collect. You see that in the U.K. with Screwfix. And that the choice at Leroy Merlin has made differently. They rely on large fulfillment center that's create cost has benefit as well, But that's not our view of the future of e-commerce for us. And therefore, we are leveraging our store. We're leveraging click and collect and fast home delivery. And so, we have made a very different choice than our main competitor in France. Second, we believe we have done outstanding job for marketplace in the U.K., in over just two years, £200 million GMV. Would not have wish that two years ago. And we believe we can go fast. We are now -- we have a proper technology, we have a very good team, and we believe we'll go very fast with our marketplace development in France.
Majid Nazir: Take one more from this side because we've got to Kate first, and then we'll go to Grace and Richard and Rodrick.
Kate Calvert : Kate Calvert from Investec. Three for me. The first one is on France. Of the 30-odd underperforming Casto stores, how many are you planning on changing over to Brico Dépôt? And the other two questions are on Poland. The first one is, what do you see is a sensible medium-term margin target in Poland? And on your new store openings, I think at five -- you said planned over the next five years, how many of those will be leasehold. Will the first vast majority be leasehold or are you thinking of any freehold? Thanks.
Thierry Garnier: So, starting in France. We -- clearly, in the past year, we have tested transfer to Brico, rightsizing, et cetera. We have a plan for this year. Then it will depend a bit of the test and the evolution of the network. So clearly, we see that as an opportunity. We have done that. But it's a bit too early to give you precise figures on how many stores could move from Casto to Brico. Poland, and I will let Bernard comment further, I think today, when we do our expansion in Poland, overall, we are around 50-50 leasehold/freehold. It's fair to say that we are -- we move more to leasehold when you are going to smaller format, and we'll open more smaller stores in Poland. But directionally, I would say, first answer would be around 50-50. And on profit, again directionally, and I will let Bernard give you more color. Obviously, we are not happy with the results of 2023. We have a clear plan to correct that quickly, and you should see that in the coming years. And it's around sales density, again, on cost and all the group strategies that will support Poland. We'll plan to open our marketplace this year. At the same time, it's probably fair to say that when you think back to 2019 profit level, I think, at this point, the group was demanding too much from Poland probably to compensate other parts of the group. So, we have -- we were lacking expansion. Our -- we had no promotion. We have very limited advertising and we gave too much room to Leroy Merlin. So, while I really believe that 2023 is a very bad year. I don't think the level of profit of 2019 is a sustainable level we should target over the medium term. I don't know if, Bernard, you have anything to...
Bernard Bot: Yes. And I think we are very excited about the opportunity in Poland. I think the last year was really extraordinary in terms of the combination of very low demand and inflation. If you just go back one year, the retail profit margin was 8.5%. So that gives you an indication of the potential in what you would call a more normalized market.
Majid Nazir: Grace and then Richard, please.
Grace Gilberg : Grace Gilberg from Jefferies. I've got two questions, if I may. The first one is, do you mind just giving a little bit more color around just the economics of the marketplace and just walking us through a little bit of those moving parts and kind of the profitability or margin that you see in the medium term and how you deal with some of the cannibalization between your own brands and also the ones that are being sold on marketplace. That's the first question. And the. Second one is that it looks like you've lowered your yearly opening target for Screwfix in the U.K. from 60 to 40 stores per year. Is there a particular reason for that? Or do you think that you can hit the plus 1,000 store target in the medium term by opening lower source per year? Thank you.
Thierry Garnier: Thank you. Economics for marketplace, Grace, if you take B&Q, £200 million GMV. Again, it's typical definition of the GMV. In our industry, and we have been very public and clear on that, we see take rate or margin collected between 10 and 15. We're right there. We believe it's the right level. To be fair, there are opportunities to more monetization. Usually, when you are a mature marketplace, you will provide more services to your vendors, being data, advice, advertising, even fulfillment. So, it's -- we have a way to go, but we already are thinking around additional way to monetize the traffic we have. Then you have some costs, you have typically some IT costs. You need to -- you have the usage of the cloud, but you can expect a very big flow-through from this 10 to 15 to profit. Cannibalization, we don't see that at the moment. I said 50% of the customers are new to B&Q. 10% of those 50% are buying immediately a first-party product. So, we are rather seeing a virtuous circle. More choices, more traffic. Traffic goes to marketplace but goes as well to our own business. And that's really what we see at the moment. Screwfix opening plan in the U.K., I think it's fair to say that we want as well to adjust our CapEx and the plan to the environment around us. We have seen 2023, and we expect 2024 with a bit more caution. So therefore, we adapt as well our plan to the environment. But we are still very committed to the 1,000 stores. We see that all the new store opened by Screwfix in the U.K. and Republic of Ireland reaching their potential. So, it's more general adjustment and prudent planning versus the environment around us overcome.
Richard Chamberlain : Richard Chamberlain, RBC. I've got a few questions on France, please. I guess I'm just interested in, Thierry, maybe you can comment on how scalable you think these trade initiatives are both for Brico and Casto in terms of configuration of the current stores. And how sort of ready do you think the trademark is in France for those type of initiatives, particularly for Castorama? It doesn't strike me as an obvious banner that would potentially scale for -- or be that popular for trade, certain trades people to shop at in France. Maybe you can just sort of address those points. Thank you.
Thierry Garnier: Overall, you have seen, we have learned from B&Q and TradePoint. We are very impressed by the results of TradePoint. H2 is a very good like-for-like. We are increasing the penetration. In the past four years, overall, we have been impressed by TradePoint. We have worked very hard to understand better Home Depot's success. Sometime, we were even looking back at what did they do 30 years ago. Probably we are the level of Home Depot 30 years ago or 20 years ago. So, what did they do 30 years ago? And for example, one of the things we are working hard on today is what we call the sales partner. There are people dedicated to a very small number of trades, and they are providing them a ad hoc specific services. And we are rolling out, for example, this across the group. We have created a group Center of Excellence to share good price. So, we are very optimistic about trade. Because all the test and learn we have done in 2023, and you have -- we have seen all the different figures and test in Brico Poland, Iberia. The results are very good and somehow with zero CapEx, so very limited CapEx because that's your stores at your range. So yes, you have -- you need dedicated checkout, desk on-trend, but that's very low CapEx. We are leveraging our technology to provide loyalty program, dedicated loyalty program app. So, in short, I -- we feel probably more excited than two years, three years ago around the trade opportunity, and we see the results of those actions. Castorama France, one of the specificities of the Casto brand is expertise. Leroy Merlin is very good. So, they are doing all the right things. But there is a on goal where we have differentiation point is we are known for the expertise of the teams, and somehow, we have a more expert brand positioning with building materials, et cetera, than Leroy Merlin that sometimes has been more focused on decoration, soft furnishing, et cetera. So, when you look at Castorama Poland at B&Q, why wouldn't it work in France, Casto? So, we believe there are well opportunities to improve the sales density there with very low CapEx.
Bernard Bot: And maybe just to highlight because we talk about trade. But obviously, it is a specific part of the trade market, mostly smaller tradespeople and then tradespeople where there is an ad hoc demand. So, they're on a job they need to get something and then, for example, proximity. And the fantastic range than a Casto or B&Q over other stores have is just extremely helpful for them. So, it's the proximity, it's the emergency demand and it's some of the smaller tradespeople. And we're not trying to capture the full wallet. But even if you capture a small share specifically linked that ad hoc, that emergency demand, that proximity need, then you can still build a very interesting business.
Majid Nazir: So, Adam, please. Paul, thank you.
Adam Cochrane : It's Adam Cochrane, Deutsche Bank. A few questions on France, if I can. You talked about the 1/3 of stores which need some work. How bad are those stores and how would they compare to the top 1/3 of stores in terms of profitability, sales densities? What is the difference? Why are those stores so bad compared to the top 1/3? And then you talked about reducing your CapEx, but you talked about how exciting the Englo store is and the transfer to Brico Dépôt, you appear to be moving quite slowly, but CapEx shouldn't really be a constraint seeing as you are undertaking a share buyback, you've got very generous free cash flow. Why are you not moving a bit more quickly given the potential to turn around the French business from which you outlined? In terms of the franchise stores, what do you expect the franchisee to do significantly better than you're doing in those stores? Why should they be able to do it differently? And on that franchise, would that be a freehold or leasehold? Or would you be getting rent from the franchisee effectively? Then as we look at the sort of slightly bigger picture. You haven't mentioned product or product development that much today particularly. Is this still an area of excitement? Is there still lots coming down the pipeline in terms of your new ranges and things? Just give us a little flavor on -- that that's still going on in the background as well. Thanks.
Thierry Garnier: Thank you for this question. I'll start and I think we'll comment with Bernard on CapEx. I think the qualification of low-performing is obviously profit but not only. Sometimes it's sales density is low, while the profit is okay. We clearly have 2 large stores. So, it's -- you could have sales density issue, could be in freehold or leasehold. So, it's a combination of that, sales density, profit or just potential of the catchment area in the future. And then when we look at those 90, 92, 93 Casto France, we consider about 1/3, we could do better. It's not -- and Bernard will comment on CapEx. It's not mainly a CapEx issue. We need to work on 1/3 of an estate. You need to confirm your -- we did to transfer to Brico, your rightsizing, we are working on franchise. You need a bit of time to do that properly. So, I think it's more a three years to four years program. And also, if you divide 1/3 by three years, you will have the plan per year. And that -- we'll go with consistency. And depending on the results of the test, we could do more of 1 of those four pathways. Franchisee is a very common, I would say, successful scheme in France. And you have seen that across different kind of retail. It's true for food retail but it's true as well for general merchandise. I think what you would expect from the franchisee is, first of all, to manage better the -- all the costs of the store. Think OpEx, all the other way you operate the store. You will see franchisee having slightly better margin especially the loss of breakage, where they manage the margin. And then to answer around freehold and leasehold, depend on the situation. If you take a Castorama stores, we'll keep the freehold and the franchisee will pay us rent. But we -- franchise, we see that as a way to operate better some of our store in lower, smaller catchment area. But for -- in other areas, we could have new stores, especially for Brico Dépôt, maybe one day for Screwfix. You could have a franchisee opening a store under Brico, Screwfix or Casto banner, then they will probably keep the property and will be a slightly different model. OEB, we are -- on product, we are very excited about it. We felt the presentation was already fairly long. So -- and we've tried to focus on the key things for us for the coming months. But clearly, private label is one of our eight priorities. You will see in the coming months, for example, in B&Q, a brand-new bathroom ranges ready, a lot of are innovation everywhere. You will see innovation in -- and new design in bathroom. We are very proud of the job we are doing on sustainable products in OEB, in new ranges for watering, for energy efficiency. We are working on smart home devices with partners. So, a lot ongoing. It's just a question of priorities for today's presentation.
Bernard Bot: And maybe just one remark on why not go more quickly. I think CapEx is, as Thierry said, is not the issue and we can manage within the envelope of the 3% for the group. But to remark 1/3 of your store state, you wouldn't do that all at once in terms of disrupting the business, management bandwidth, level of change in the stores. So, I think there is room for a bit of phasing. And I think 13 stores ready in a year is an ambitious program.
Adam Cochrane: So, it feels like it's we've been going on for about four years.
Thierry Garnier: Well, just if they may -- remember where we were in 2019, I'm sorry to be a bit -- we were having thousands of containers across our DC and harbors. We lost half of the supply chain team. Our price index was not where we wanted to be. The team was totally demotivated. We were 5% to 7% below the market growth for the past years, et cetera, et cetera. We have legacy system on IT. So, you need a bit of time to solve that, and we are now in a strong position. And I'm very proud of the job that has been done in the past four years. And we don't comment specifically on profit of Casto, profit of Brico, but Casto did a good job. That allows us now to bring with another level of plan. So, we bring France to the next level. We are very happy and proud of the job done by the past four years. So, don't forget where we were end of 2019.
Bernard Bot: Just to the point, I mean, as we've taken that time to test rightsizes, Brico Dépôt, the new concepts were in our glove. That you want -- now we've said with the starting [indiscernible], now we can go gung ho. We needed that time to test and refine those propositions, but that's now done. Now it's just a question of let's say, the management bandwidth that you have and we go as fast as we can in implementing the various formats.
Majid Nazir: Any other questions? Sorry, is that Matt?
Unidentified Analyst: Matt Clemens from Barclays. A few questions on retail media. Obviously, the kind of stuff upgrade in your long-term guidance for the retail media this morning with the increase of GMV penetration to 30%. Any indication -- I know it's a nascent business, but any indication on how that's being received, how many clients you sign? Up any kind of performance indicators? And any comment on kind of trajectory towards that 3%? Any indication perhaps in the U.K. where it's most developed? What kind of contribution would be looking to in the next couple of years?
Thierry Garnier: Yes. Thank you for the question. I think retail media, again, the key component is we have very big traffic. We have very strong brands. So, it's ready around monetizing our traffic. And we have built strong data capabilities in the past three years to four years. So, we have chosen to do a partnership with CitrusAd. CitrusAd is one of the leading software company to help us to sell not only retail media ads but how you manage the data. Because your vendors, they want to have the data. Otherwise, they are not engaged in the long term. So, we have decided for speed and therefore not to do those software’s, -- but to build a very fast partnership with CitrusAd, and that allowed us to go very fast. We have done Casto, Brico, B&Q in one year, you will see this year a large part of the group going to retail media. We see very good engagement of our vendors. On top of that, I think the secret will be marketplace. And we see that marketplace vendors, normally, they have more even more appetite for retail media than your first-party vendors. And we will start as well Retail Media with our marketplace vendors in 2024. So, the 3%, confident to reach that. Really looking for speed. Even though we agree to, let's say, share a little bit of the profit with CitrusAd, we believe will give us the best option for the future.
Majid Nazir: Thanks, Matt. Any further questions at all? I think we are good for Q&A. So -- thank you very much. Thierry, any closing remarks at all from your side?
Thierry Garnier: No. See, again, thank you for this morning. I think again, we are gaining market share, and that's for me, top of my mind. When you judge the state of the group, we are delivering our strategy at pace and we are happy with the progress. And it's a very consistent strategy, and you will continue to see that. And three, we are adjusting the group to the environment. And if we have to work on costs, work on cash, we are agile, we continue to do so, and that's how we see us in 2024. So, thank you, everyone. Thank you, Maj.
Majid Nazir: Thank you. Thank you.